Operator: Good day, everyone and welcome to the Verso Paper Corporation First Quarter 2012 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Robert Mundy, Senior Vice President and Chief Financial Officer. Please go ahead, sir.
Robert Mundy: Good morning and thank you for joining Verso Paper’s first quarter 2012 earnings conference call. Representing Verso today on this call is President and Chief Executive Officer, Mike Jackson and myself, Robert Mundy, Senior Vice President and Chief Financial Officer. Also sitting in with us today is Dave Patterson, who will be assuming Mike’s roles after our earnings call this morning. Before turning the call over to Mike, I’d like to remind everyone that in the course of this call in order to give you a better understanding of our performance, we will be making certain forward-looking statements. These forward-looking statements are subject to risk and uncertainties. Should one or more of these risks or uncertainties materialize, or should underlying assumptions or estimate prove incorrect, actual results may vary materially from management’s expectations. If you would like further information regarding the various risks and uncertainties associated with our business, please refer to our various SEC filings which are posted on our website versopaper.com under the Investor Relations tab. Mike?
Mike Jackson: Good morning, everyone and also Dave a hearty welcome to Verso. Just before the question-and-answer period, I will make some further comments about the CEO transition and the fact that the company has chosen the right successor. If you would go to slide 3, as many on the call know, the first quarter is a seasonally challenging quarter for volume. Such was the case this year. In fact, this was compounded this year due to the larger than expected drop in advertising spend, which impacted both the magazine and direct mail business. As we look at year-over-year comparisons, the first quarter of 2011 was unusually strong, and coupled with the impact of our three machines being shut down in the fourth quarter of 2011; it really makes for a distorted year-over-year basis for comparisons. From an industry perspective, if you adjust for 20,000 tones of coated mechanical imports from Korea, which are really competing in the freesheet market, but get classified as mechanical due to the BCTMP content, then both coated mechanical and coated freesheet demand were down 7.5% in the first quarter. This drop-off was a bit disappointing, but given the fact that GDP was a very lukewarm 2.2% growth, we expect to see a stronger economy going forward. I will speak of that in a moment, when I give my forward-looking comments. Our inventories of coated groundwood remained at levels similar to both the fourth quarter of 2011, as well as the first quarter of 2011. Our coated freesheet inventories did grow, but overall our inventories are at planned levels and in good shape. Pricing for pulp compared to last year was up $90 a ton, while our coated price was relatively flat year-over-year, but dropped sequentially on an average of $25 a ton, which we by the way projected in our last earnings call. Operations from a cost perspective were up $2 million from Q1 2011 due to reduced production from machine shuts and some machine centers not running at the targeted levels. We did of course see year-over-year savings in spending and direct cost. As has been the case in the past, our R-Gap process savings builds quarter-by-quarter throughout the year, and we anticipate the same results in 2012. During our last call, we suggested that input prices would remain flat. In this case that proved to be the case, as input prices were slightly lower sequentially. That being said, input prices were significantly higher than the first quarter of 2011 and Bob will highlight the components of those direct costs later in the call. We are also very busy in the quarter kicking off several capital structure refinancing alternative, and Bob will give you a very clear picture in a moment of those activities and the impact of the maturity schedule as we move forward. Bob.
Robert Mundy: If you will turn to slide 4, our overall volume for the quarter was about 8% below the first quarter of last year and 14% lower on a sequential basis for the seasonally slower first quarter. These volumes were in line with our internal projections which had assumed a slow start to the commercial plant, and served retail markets. Additionally the comparison to last year’s is a bit skewed, as Mike indicated they turn almost record volume in March of last year. Revenues were down in a similar fashion for these reasons, as well as the falloff in pulp prices which bottomed out during the quarter. Coated prices were flat with last year’s levels and down a little less than 3% versus the first quarter of 2011. On slide 5, you can see that coated volumes were off almost 56,000 tons versus a very strong first quarter of 2011, as well as due to our exiting the supercalendered business that resulted from the shutdown of our two SC machines last year. This alone accounted for almost 35% of the drop in volume versus last year’s first quarter. Volumes were about 67,000 tons below the fourth quarter as we came in to the seasonally slower period, as well as enduring the effects of the continuing sluggish economy and its impact on advertising and the commercial print market. Pulp volume was about where we expected. As I said earlier, coated prices were down, but we expect that they as well as pulp prices had bottomed and we will begin moving up during the second and in to the third quarters. We and others have recently announced a coated price increase, as well as three pulp price increases. On slide 6, you can see the key changes between first quarter 2012 adjusted EBITDA of $25 million versus the 47 million in the first quarter of last year. As I mentioned earlier, overall volume was down with the most significant impact at least from an EBITDA perspective, affecting our coated freesheet range targeted at the commercial plant and in certain retail markets. The pricing impact you see here is almost all attributable to pulp prices being about $9 per ton below last year’s levels. Operations were primarily impacted by our productivity and efficiencies at a couple of mills, not being where we expected. And although down versus the previous quarter, input prices are still high compared to this time last year. Turn to slide 7; this gives you a view of the adjusted EBITDA changes between the fourth quarter of 2011 and the seasonally slower first quarter of 2012. You would expect volume to be down versus a seasonally stronger fourth quarter, but this first quarter was also challenged by impacts to our markets resulting from a sluggish economic conditions. The pricing hit that’s reflected here is a result of both coated and pulp prices, both being down about $25 per ton versus last quarter. But as I said, we feel we reached the bottom during the quarter for both of these products. Manufacturing operations were [off], it was not being where we expected from a productivity standpoint, and this will get back to where we expect things to be during the second quarter. Input prices declined about $3 million on a sequential basis. On slide 8; a bit more information related to input prices, where you can see the direction in which prices were moving versus last year, and versus the previous quarter. Although overall input prices are moving down over the last few months; they were still much higher than they were during last year’s first quarter, particularly with latex, starch and clay prices. Turning to slide 9; I am sure you are aware we had been very active during the last couple of months regarding extending the maturity of our capital structure, capturing some debt discount and securing a new $200 million revolver. We completed the refinancing of our first Lien bonds and extended the maturity by five years up to 2019. On May 4, we closed on our new $150 million ABL revolver and $50 million cash flow facility, both of which had five year terms. Last week we also successfully completed an exchange offer $167 million of second Lien floating rate notes due 2014 in to new 1.5 Lien notes due 2019. Also last week we successfully completed the exchange offer of $158 million of senior subordinated notes and to 1.5 million Lien notes also due in 2019. These transactions have pushed our average maturity out from 2015 to 2018 to where we now have less than 7% of our debt maturing before 2016. Additionally we captured $24 million of debt discount and standardized our covenant in collateral packages throughout the capital structure. On slide 10, we are showing what our maturity schedule looked like prior to our refinancing efforts, and then pro forma for completion of the refinancing activities. A sum of all these results in extending our average maturity from 2015 up to 2018, with almost $840 million of upcoming maturities pushed out to 2019. Obviously although I am not prepared to discuss the specifics today, the next priority in our capital structure will be the whole curve term loan you see there that matures in 2013. And finally on slide 11, you see our Opco capital structure both prior to and then pro forma for the recently completed transaction, which I just described. With that I will turn it back to Mike.
Mike Jackson: As you turn to slide 12, we do expect to see the market condition and demand improve as we move through the second quarter, and in to the second half of the year. As I mentioned GDP for the first quarter was a very tepid 2.2%. We would expect that percent to accelerate as well on the advertising side of [ledger]. We would also expect to see a favorable impact on advertising that should get a boost from both the election as well as the 2012 Olympics. As a reminder, we have announced three pulp increases for March, April and May that were $30 per announcement. We have also announced the $60 return increase on coated groundwood for May 1 shipments, and a $40 a ton increase on coated freesheet as well. That being said, prices have stabilized and will begin to move upward with a larger impact taking place in the third quarter. We will be taking scheduled maintenance down time across our mail system, which will have a cost impact for the quarter, and our projection for input costs suggest that they will be sequentially flat but elevated again over last year’s second quarter. We also expect working capital to show our seasonal decline for the second quarter. So before we open the call to Q&A, let me again say to David, welcome. As the majority of you on the phone know, this is my last official duty as Verso’s President and CEO. It’s taken about 42 years of work, but as spikes get hung today, I am really proud of what we’ve accomplished in turbulent times, dealing with our cost structure, our new products making aggressive and imaginative energy strategy and to-date a world class safety record which really sets up a solid foundation for the future. More importantly, I get to hand the business off to Dave Paterson, who is the man that I’ve competed against over my career in the container board, packaging, bleached board, newsprint, recycling, coated paper and pulp business, and have also found him to be a tough but a very fair business competitor. I think you saw Dave’s extensive credentials in our press release on April 20. Where I really got to know Dave was when he was on the Board of Directors at AF&PA, a Board that we both had served on. We worked together in DC, calling on many politicians and agencies trying to impact in a positive fashion the issues of our industry. He was a knowledgeable and formidable partner, and he will be a great choice to lead Verso to its next strategic plateau. So Dave, all the best and with that Bob and I and David will be happy to take your questions.
Operator: (Operator Instruction) And we’ll take our first question from Tarek Hamid with JP Morgan.
Tarek Hamid: Can you talk a little bit about the tons that have been shut and would it be reasonable to expect an EBITDA contribution of those tons in 2011 was deminimus, and that it really was more as a revenue impact from shutting those machines?
Robert Mundy: It’s like we describe, the tons will be from an EBITDA perspective, once we were pretty much there taking out fixed cost and some other things, relative to those times then. And we indicated that worst case we felt that it was a push and actually our plans are to make it an EBITDA positive regarding the decision to shut those three machines.
Tarek Hamid: And then you talked a little bit about the expected maintenance impact in the second quarter. Any sort of guidelines or number you could put around that to help us think through it.
Robert Mundy: Yeah, it will be somewhere around $5 million.
Tarek Hamid: Just finally you talked a little bit about the price increases mostly having effect in the third quarter. Could you may be talk a little bit about the pacing of the implementation of the pricing increases that has been announced.
Robert Mundy: I think the reason we said that the impact will be probably July 1 is that, we had announced the May 1 and subsequently some of the other announcements were pushed out a bit. So I think in all fairness we are really looking at something that will begin to impact the 1st of July. It’s just a competitive environment, but we feel good about our announcements and the fact that that will take place in that timeframe.
Operator: And we’ll go next to your next question comes from the line of Joe Stivaletti with Goldman Sachs.
Joe Stivaletti: I just wanted to see if you could talk a little bit more about what’s reasonable from your perspective in terms of volumes for this year. I mean if your coated segment was down 13.8% in the first quarter, I was just wondering, I know you said that, you think second quarter will see a more than seasonal pickup. But I wondered how you are looking at it and tied to that, with that backdrop of those declines I am just wondering, sort of what the basis is for thinking that prices will be going up by the middle of the year. It’s a little inconsistent and just wanted to get your perspective on that.
Mike Jackson: Well Joe, let me start with your last comment. I think as you know, operating rate primarily drives the success or failure of an increase. And if you look at operating rates and what has been taken out of the market, as well as the fact that imports are down accordingly, in fact more than even the demand or the number that was given in the first quarter. I think your operating rates by the way particularly on groundwood are still for the first quarter good. I think the challenge has been on freesheet; and again, I think that’s just an issue around commercial print which normally has been fairly steady. In this case it fell off more than normal. But based on what I already had mentioned in terms of the advertising pickup through both the election process as well as the Olympics, we feel that that will recover. So I think and overall we talked about this before Joe that the magazine ad pages continue being challenged, but catalog mailings were a bit of a surprise. They were down like 9% and based on the discussions that we’ve had with our customers, that wasn’t abnormal number and we expect that to begin to pick up, as I said, in the latter part of the second quarter and significantly in to the third and fourth.
Joe Stivaletti: That’s helpful color. The other question I had was, in your press release you showed 57.6 million of expected efficiencies going forward, when you are showing a pro forma number, and I wondered if you could update us on sort of what would you expect to see in 2012 of that number in terms of your reported number for EBITDA versus further years out.
Robert Mundy: Joe you will all of it, but you will see a very significant part of that. The key pieces you won’t see is the part that’s attributable to the benefits from our Bucksport renewable energy project that $43 million or so project that comes online late in the year. You will see the full effects of those benefits really until the first of next year.
Operator: We’ll take our next question from Bill Hoffman with RBC Capital Markets.
Bill Hoffman: One thing I want to talk about and may be Mike if you could just give a little bit more color on it. You talked about the advertising boost you get from Olympics and then elections et cetera. Any thoughts on what you are hearing from the magazine guys at this point in time, just trying to put some numbers around that.
Mike Jackson: Bill you may have seen ad pages from Q1 2012 versus Q1 2011 was off about 8%, and certainly talking to our customers, I think they were looking at may be a 3% to 5% number. So it was a bit of a surprise to them. In recent conversations that I’ve had, actually just last week, they just believed that number will improve. But I think its fair to say that magazine as compared to catalogues are challenge, and that’s something that we are going to have to watch very closely and that’s why you are seeing the impact on the coated freesheet versus the groundwood. As I had already said earlier, groundwood operating rate is pretty decent and freesheet was a little bit challenged because of that magazine number. But to put it in perspective a little bit and give you the full year ‘11 versus ‘10 in magazine ad pages was only down 3%. So that’s why I am suggesting that the leap from 3% down to 9% down is really something that we think is a bit of a blip on the radar screen, and we really think it’s more in that 3% to 4% range being down.
Bill Hoffman: The number you just mentioned about the catalog reduction is that sort of first quarter or year-to-date kind of decline? Was that 9%.
Mike Jackson: Yeah Bill, its first quarter 2012 versus first quarter 2011.
Bill Hoffman: Second question just has to do with - you mentioned the Bucksport project, but I just wondered if you could walk us through the timing of that project and the capital spend this year just to make sure we got the numbers right.
Robert Mundy: It comes online in the fall, sort of late 3 early 4 type of timing Bill. We spend some capital on that last year and I don’t have the specifics in front me. But I would say about roughly half of last year and the other half is this year, something like that.
Bill Hoffman: What’s your total capital spending exactly this year?
Robert Mundy: Well I think we’ve indicated that we’ll be in net of two renewable energy investment tax credits that we fully expect to receive this year. Net of those will be somewhere in the low 60s.
Bill Hoffman: Last one just from an inventory management standpoint. We don’t have the inventory numbers yet, but can you just tell us where you were at the end of first quarter and will you be able to have a decent sell-through in the second quarter with the down time.
Robert Mundy: Yeah. Groundwood was actually a little bit below where we were targeting and freesheet was a little north of where were targeting for some of the reasons Mike indicated. But overall our inventories are in good shape. Obviously we build the inventory going from the fourth to the first, not just in finished goods but wood inventory, because where our mills are located, we always anticipate it did happen so much this year coming out of a frozen winter you have the fall where you can get wood. So wood inventory is another area that you will see start coming down, just looking out from the working capital perspective.
Operator: We’ll turn next to James Daly with Deutsche Bank.
James Daly: Just a couple of follow-up or clean up questions. The pro forma cash balance that you gave in the presentation does that included the deal with Quinnesec that came in or is that still down in the future a little bit.
Robert Mundy: It included what Jim?
James Daly: I guess you are getting the cash from those deal on the [past] service that you just mentioned. Is that included in that number, have you received any of that cash yet.
Robert Mundy: Well from the DOE, yeah, and just to be real clear here, the DOE, we’ve received all the cash from that. I think what you may be referring to as the renewable energy tax credit. No we have not; we anticipate probably it will beyond the filing process. But Quinnesec we are sort of really waiting on what the next will be there, but we feel like we are very close completing that process. On Quinnesec you cannot file for Bucksport, you can’t do that until the project is completed.
James Daly: What was the number on Quinnesec at the end?
Robert Mundy: It’s about in the $15 million to $16 million range.
James Daly: And for Bucksport it would be something similar, right?
Robert Mundy: That’s correct.
James Daly: So total past has been about 90, but net about 60 with those credits.
Robert Mundy: Hopefully maybe a little less than that, but as far as in net in total, but somewhere around 60 up.
Operator: We’ll go next to Kevin Cohen with Imperial Capital.
Kevin Cohen: Could you talk a little bit about the supply and demand in China and do you see much risk on that front, in terms of import in to the US from China just given the significant capacity builds going on there (inaudible).
Mike Jackson: Surely the capacity build has been going on for a while. But in terms of you thinking about the groundwood versus freesheet, I guess there are two elements. One is groundwood has not been and will not be a threat coming out of China. I think that’s why you see the operating rates as they are today. The challenge has always been coated freesheet, and you know, for a five year period there are tariffs on the imports. So we’ve not seen at least from China, we’ve not seen a significant impact on coated freesheet. Perhaps with South Korea it may a different story, but as it relates to China, we are - I don’t want to say in great shape, but fairly decent shape as it relates to the impact that that has on the supply and demand certainly here. You may know that the government at one point communalized 30 to 40 days, reconsidered the tariffs or the duty and they actually reinforced that. So that will remain in place for the next at least four years.
Kevin Cohen: And in terms of the competitive environment, do you guys believe that at least half of the price tags will likely [shift] and do you think it will at least recover the input cost inflation, may be just a little bit more granularity on that front would be helpful.
Mike Jackson: We always hate to project anything on the price side. I would just say that based off of our current situation, the operating rates that we’ve already talked about particularly on the groundwood side; we feel positive about our announcement and where we think we are. I think we made the comment about as we get in to the second half of the year which is a busy part of the year, we expect to see those increases pick.
Kevin Cohen: Just lastly, I know in the prior slide the company has projected overall positive free cash flow in 2012. Is that still the case today?
Robert Mundy: We were not far off from our internal projections. Obviously, we always compare the last year and last quarter, but we also have our internal views and that still where we are certain we dig a little more. As far as on the refinancing front, we certainly some things that impede our cash a bit obviously, but we still anticipate being around there somewhere.
Operator: We’ll go next to Gary Madia with Gleacher & Company.
Gary Madia: Thanks, but all my questions have been answered.
Operator: And we’ll move on to Michael Marczak with UBS.
Michael Marczak: Can you guys talk a little bit about first quarter volumes again? I know there are a lot of moving parts with the closure of the machine, but if I look at industry data, it looks like volumes were a little better than what were supposed to. Were there just one-time games relating to the closure. I know you mentioned some things in your commentary.
Robert Mundy: Basically we had very little FC volumes, and that shows up in our coated numbers, that’s where we’ve always reported it. But the two machines that make that product for us, we shut those down last year. So that was a big drop-off when you look at us versus the industry. Similarly we shut down a groundwood machine. We started a little inventory there, but you saw a little bit of a drop-off from just the lack of having that machine as well.
Michael Marczak: So there weren’t any market shift in the quarter per say.
Robert Mundy: Well we don’t talk a lot about market share, but I don’t think you’ll se a big change there.
Michael Marczak: And then on the input price cost, if I look at slide 8 and I look at your wood cost. When you think about that does that include distribution cost as well as like fuel surcharge et cetera or is jumpy on the wood chips themselves.
Robert Mundy: No, that includes the transportation cost of which diesel price has been a big piece of that, and keeping those overall wood costs at higher levels.
Michael Marczak: The comment around maintenance cost of 5 million. Was that year-over-year or quarter-over-quarter?
Robert Mundy: That will be just what the impact we’ll feel during the quarter, relative to the work we have going on and some production outages and so forth.
Michael Marczak: And that doesn’t sound like it’s that much different though than what you did last year.
Robert Mundy: I don’t think it will significantly different, no.
Michael Marczak: Last question I just want to make sure I understand it. On the pro forma capital structure slide on page 11, that cash of 28, that doesn’t include the fact that you have the redeem the first Lien note in April. Is that right? I think you mentioned that you had to redeem the remaining 44 million off the first Lien notes.
Robert Mundy: Yes, we did. That’s correct.
Operator: We’ll go next to Richard Kus with Jefferies.
Richard Kus: Just a quick question; on the pulp side how do you guys view the overall health of that market. We hear a lot about inventory builds in China and potentially resulting in some pressure on pricing later in the year. How do you guys think about that or are you seeing similar.
Mike Jackson: The environment actually in the last two or three months has been fairly positive, and that’s really what’s driven the $330 a ton increase. By the way there is normally a 30 day lag in that, so we announced in March and the impact of that would probably in April et cetera. So it’s slides about 30 days. But when you look at the overall worldwide pulp inventories, they are in a fairly good shape on a day-to-day basis. So otherwise there’d be no way that we’d be able to move these prices. Of course they were $90 a ton year-over-year, but we still feel good about the overall balance. And in terms of hardwood which is our main focus, there is not going to be any additional capacity adds probably for another 10 to 12 months. But that certainly shouldn’t be a surprise to anybody, as it relates to the pulp market. So all-in-all I think if we feel good about what we’ve announced and the impact it will have on our earnings for the second half of the year.
Operator: We’ll go next to [Matthew Sansaker with Harvard Management].
Matthew Sansaker: I wanted to talk just a little bit more about the cost numbers in the first quarter if you don’t mind. On a personal basis, you were up both on the coated and on the pulp side. How much of that just the lower volumes, how much of that is cost associated with. Still trying to get the closures taking care of, how much of that is input costs. I am just trying to get my hands around what this will look like say in 3Q once the volume start to pick up.
Robert Mundy: Well obviously some of it has to do with lower volumes, because you are looking at it on a per time basis. Like I said input prices actually moved lower during the quarter, and we expect that to be not a significant move in the other direction towards the balance of the year. We had a couple mills that didn’t run particularly well during the quarter. That will correct it self. So that certainly will impact you on a per time basis also. And then of course in the second quarter as I mentioned, we are just looking at the reported results, it will certainly be impacted by the - we had some boiler and digester (inaudible) during the quarter.
Matthew Sansaker: Can you quantify the impact of a couple of mills that didn’t run particularly well on the cost side?
Robert Mundy: No. You can see in the bridge that I’ve provided. You can see how the dollars moved versus last year and versus the previous quarter. But its somewhere around the ballpark of what that bar is showing.
Operator: (Operator Instruction). We’ll go next to Jeff Harlib with Barclays.
Jeff Harlib: In terms of your orders during 2Q, have they stabilized, you’ve seen some improvement there, are they stable waiting for the upturn.
Mike Jackson: Jeff they are really typical, given the impact that probably I wouldn’t run over with [SC] shut and the groundwood shut. I think the fact that all that ends, bookings or not, I know our bookings are exactly what we expected, and particularly pleasantly surprised perhaps maybe that’s an over exaggeration on the groundwood side, and again the challenge is a bit on the freesheet side. But overall I’d say it’s kind of where we expected it to be for the second quarter bookings. No surprises Jeff.
Jeff Harlib: On the energy savings above all you expected 50 million of savings, 30 million realized in 2012 when you had some run rate in Q1 continuing. Can you just where you were on that in terms of when you see the saving benefiting your numbers.
Mike Jackson: I would say, we are just about, and of course this will build as we go. But I think between the DOE projects, the major project at Quinnesec and certainly the latter part of the year for Bucksport. I would say that $30 million that we’ve coated is just about where it’s going to be. I don’t see a significant change as we go forward throughout the year at all. So I think you can bank on that number surely.
Jeff Harlib: Lastly just after completing the refinancing, what’s your RP basket towards the (inaudible) amount in early 2013?
Robert Mundy: Well I am not getting to the specifics of that Jeff, but obviously part of our efforts were to make sure that we developed some additional options to deal with that and to think we were successful. So as I said, I am not going to get in to the specifics today, but we certainly have a few options to work with.
Operator: And with no further questions in the queue, I’d like to turn the call back to Mr. Mundy for any additional or closing remarks.
Robert Mundy: Well, thank you for joining us and we look forward to talking with you again next quarter. Thank you.